Operator: Greetings. Welcome to the SRAX First Quarter 2019 Results conference call. [Operator Instructions]. Please note, this conference is being recorded. I would now turn the conference over to your host, Kirsten Chapman, LHA, Investor Relations. Ms. Chapman, you may begin.
Kirsten Chapman: Thank you, Operator. Good afternoon, everyone. I'd like to welcome you all to SRAX first quarter 2019 conference call. This call is being webcast at srax.com/investors. With us today from management are SRAX's CEO, Christopher Miglino; and CFO, Michael Malone. Chris Miglino will give an overview of the quarter and vision for the remainder of the year, and Mike will review the financials and then turn the call back to Chris for closing remarks. Then we will open the call for questions. Before I turn the call over to management, I would like to remind you that this call may contain forward-looking statements which could be indicated by the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, projects and other similar expressions as they relate to SRAX. Investors are cautioned that all forward-looking statements involve risks and uncertainties that may cause actual results to differ from those anticipated by SRAX at this time. In addition, other risks are more are fully described in SRAX public filings with the U.S. SEC, which could be viewed at www.sec.gov. Finally, please take note that on today's call, management will refer to non-GAAP financial measures. Adjusted EBITDA is defined as earnings before interest, tax, depreciation and amortization, noncash equity-based compensation and changes in the fair value of derivative and [indiscernible] liabilities and certain one-time charges. Please note, first quarter 2018 results included SRAXmd and Reach, which were discontinued products for first quarter of 2019. Please refer to SRAX press release for full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. Now it's my pleasure to turn the call over to SRAX CEO, Chris Miglino. Please go ahead, Chris.
Christopher Miglino: Thank you, Kirsten. Good afternoon, everyone. Thanks for joining us today. Since it's just been a few weeks since our Q4 call, we're going to keep this call little bit shorter than the last one. And then we'll allow us some more time to take questions because I know people have a lot of questions. We continue to build valuable data sets that are benefiting our customers across all of our businesses. We're making a great progress and we're excited about those opportunities in each of those verticals. This quarter's verticals grew by 132% over the first quarter of last year. In BIGtoken, we increased our registered users exponentially to over 15.6 million today. So before we get into and go a little further, I want quickly highlight an important industry milestone. According to a study by AEB Pricewaterhouse, digital ad spend in the United States increased 22% for 2017 to $108 billion. So it's the first time it's exceeded $100 billion, which is a big milestone for the industry as a whole. So first, we're going to turn to BIGtoken. In Q1, we unveiled and enhanced the platform that quickly gained the attention of consumers. It resulted in a lot of rapid growth on our registered user base. It's continuing to grow at a sustainable pace. Through this experience expense, we learned that consumer referrals are our most valuable marketing tool because that's what really made the product takeoff, was consumers inviting all of their friends. As such, we've modified our marketing to incent people to invite their friends and family to the platform. We're implementing these programs now. You may notice some of them on social media, where if you - if you're on Twitter or you're on Facebook or on Instagram and you put in BIGtoken, you'll see substantial amount of posts coming from different consumers. And that is being driven by different marketing initiatives that we're doing and consumers are adopting that well. During the quarter, to further value, proposition of BIG, we introduced new features, enabling users to earn points with popular travel, grocery and retail loyalty rewards programs. So this enables consumers to tie your Marriott's program to the platform, you can tie your [indiscernible] as points to the program and a bunch of other applications, including different banking applications that you can tie into BIGtoken. So this allows us to pull in data from those different rewards programs and from your different banking data, which makes the data for the consumer more valuable. That type of data, of rewards and banking is invaluable data for marketers. It's - that's the kind of what, in our industry, we call attribution, meaning that we can attribute and add having some form of success is - that is something that's very important in the digital advertising landscape, and time means platforms - or time baked into this form enables us to do that. We're now requiring our registered users to download the BIGtoken application. So we're not just allowing consumers to sign up from the desktop. The reason we're doing this is that the app generates more data for us. It includes location data, device ID or advertising ID, and that type of data is much more valuable in the long run. And we can use that data of the device ID and the advertising ID and location to help identify the browser that the user is using as well and do what's called a cross-platform analysis and find the different devices that, that consumer is using, and also, find if they're using a set-top box through their IP address. We have - implementing this has slowed the sign-up process, but it's giving us better data in the long run. And consumers will - this information that we're collecting is more valuable for the marketers. But not that it wasn't before, but this is, in the long term, it's providing us better information. So now what's happening is we're taking advantage of that user base and we're beginning the monetization phase of that data. We're entering into a lot of strategic agency partnerships and several large internationally known consumer brands are interested in BIGtoken. The brands are interested in leveraging this data for digital advertising as well as other innovative opportunity that we never even thought of before. We're getting hit with different ideas that people have for using the BIGtoken platform that are well beyond what we had ever scoped out or put into our financial modeling, and we're really excited about that. And I think this quarter will be the quarter that you start to see those transactions come to fruition. We're working on several other expansion initiatives, including Asia and Europe. So BIG has been adopted internationally, so people are joining from all over the globe and we're starting to process to formally launch in those markets, where we're seeing demand. We're actually looking for partners in each of those markets to ensure good local support to expand our geographic footprint. This morning, we announced that investors familiar with the Asian market are investing $1 million in the SRAX with $5 per common share and a private placement to fund BIGtoken Asia. This initiative will increase access to over 1 billion Internet users that want to own and earn from their data. The Asia digital ad industry is projected to be more than $300 billion by 2020. And through BIG, consumers will be able to directly benefit. SRAX will begin development of Big Asia immediately, with plans to officially launch in 2020. Now we've had a lot of people that have joined BIG in Southeast Asia, and now we are providing the opportunity for marketers in those markets to reach out to those consumers. And so this money is coming in to help put those different partnerships together, and we envision this same model happening in many different markets where we will find an investment group that has a strategic interest in that market, come in and help us monetize the consumers that are joining in each of those markets. And what this brings as well is people are vested into the business to now bring additional capital, additional partnerships in each individual market. So by no means, do we think that $1 million is enough to expand all throughout Asia, but we know that it's enough to bring in the right partners and to put the infrastructure in place so that we're ready as that - as these new partners come into the platform. And we are currently in similar conversations in a number of other countries throughout the world, where partners are very interested in the BIGtoken data and want to partner with us and bring it to their local region. So expect more of these types of transactions in the future. So another thing on BIGtoken is we're seeing a trend where there's a lot of cross pollination between BIGtoken and our verticals. So our verticals have begun to service the sales channel for the data collected through BIG. The first deals that are coming in are coming through our Shopper platform. As such, we created BIG Shopper. The BIG platform is so valuable for CPG companies due to its ability to provide attribution data through location, banking and loyalty information. So this means you saw an ad for a particular product and you could have seen that ad on TV, you can see that ad online, and then our platform, BIG, can track whether you went into the store because we can track you at the location. We can, if you made a purchase at that facility and we can look at your loyalty data to see if you're engaging and making purchases at that retailer or at travel site, or whatever it is might be on the loyalty side. So it's very valuable to bring that attribution data, and marketers are very interested in it. On the other verticals, we've been focused on fueling growth by expanding our sales infrastructures, as you all know, we've talked about that. And that infrastructure is really starting to kick in now with the - majority of those guys were hired in the fourth quarter - end of third quarter, fourth quarter of last year, and we're really starting to see them ticking in. And that's why we have at the increase in the vertical sales for this first quarter of 132%. But we expect that investment in the sales team to continue to pay off into the Q2. The Q2 pipeline now is growing to around $10 million. So we're really confident in the continued guidance that we had for 2019. And adding into that, the deals that will be done across-the-board for BIG, which are just amazing. And I think you'll start to see those, as I said, over the next quarter. With that, I'll turn the call over to Mike.
Michael Malone: Thanks, Chris. So now I'll give an overview of the first quarter operating results. Total revenue was $592,000, representing revenues from verticals which grew 132% over the same period in the prior year. Gross margins were 42% compared to 27% in the prior year, excluding discontinued products. Operating expenses were $4.1 million, reflecting the increased investment in BIGtoken, general sales and operational resources to support our growth. This compares to $2.5 million in the prior year, excluding discontinued products. Q1 2019 net loss of $5.8 million included a charge of $2 million related to noncash warrant evaluation. Q1 2018 net income of $11,000 included a benefit of $3.7 million of related to noncash valuation adjustment as well as operations from SRAXmd and Reach, which were sold or discontinued respectively. Adjusted EBITDA loss was $3.9 million, which included $695,000 in expense for BIGtoken. This compares to Q1 2018 with an adjusted EBITDA loss of $2.4 million. Now moving to the balance sheet. After the close of the quarter, we raised $8.8 million through various equity offerings, including $6.7 million from a registered direct offering, $1.1 million from a warrant conversion and $1 billion through the private placement for the BIG Asia expansion that Chris mentioned earlier. In addition to being debt-free, we have approximately 10.1 million shares outstanding as of March 31, 2019, approximately the same amount in the prior year same period. Looking ahead, as Chris mentioned earlier, we reiterate our 2019 guidance of revenue between $20 million and $25 million, with a gross margin between 45% and 55%. And with that, I'll turn it back to Chris.
Christopher Miglino: Thanks, Mike. We're really excited about the different opportunities in each of the verticals and the things that are coming down the pipe with BIGtoken. As we mentioned, to get to 15.6 million users on BIGtoken is really giving us a lot more data. And the fact that we're now requiring the users to download the app, it's generating a lot of valuable information for us. Consumers actually have to download the app in order to monetize their data as well, so you have to get the app before you can get compensated at all out of the platform, so [indiscernible] choose to download the application. We're expanding geographically. So we have a very good sense of the U.S. market and how the U.S. market works. And - but we've and an expansion throughout the entire world of users joining the BIGtoken platform. So we're bringing in the right partners to help us monetize that information and bring the right partners with us. The vertical growing by 132% is just some foreshadowing as to what is going to be happening for the rest of the year, as we start to close more transactions with our larger sales force. The - I think this will start to demonstrate a lot of the value in each of these individual verticals. The one thing, I think, that's also not getting recognized in this quarter is the SRAX IR product has a ramp-up period when companies sign on, where there are a lot of daily to get their data feeds integrated into the platform, which takes around 1.5 months to get going. So even though we've sold a lot of SRAX IR product, it's not being demonstrated in the platform now. Then we're also having a lot of synergies between the verticals and BIG. As I mentioned before, we're - our sales team is loving, selling the Big Data and is providing them a lot of opportunity. So before I open the call to questions, I'd like to note that you can see us at a bunch of investors events in the next couple of weeks. It seems like this is the investor conference season. We're going to be at the B.Riley conference next week. The week after that, we're at the Ladenburg Conference in New York. And then the week after that, we're at LD Micro Invitational in Bel-Air. So I'd like to now turn over the call to the operator for Q&A, and I look forward to your questions.
Operator: [Operator Instructions]. Our first question comes from Jim McIlree, Chardan Capital.
James McIlree: Can you talk a little bit about the BIGtoken active users, if you have a handle on that? And then also if you have either specific or broad-brushed users of BIGtoken by geography?
Christopher Miglino: So on our platform, active users is not relative, unlike a platform like Facebook or Twitter where revenue is being generated off of the user engaging in the platform. BIGtoken is much different than that. When you sign up into the BIGtoken application, you give us the right to market to you outside of the platform, not inside the BIGtoken platform. So there's no advertising that's actually taking place inside the BIGtoken platform. So our consumers that sign up, once they sign up inside the platform, were then redirecting advertising to them no matter where they are. They might be on Seeking Alpha, CNBC, CNN, Fox Business News, wherever you're getting your news, those are the places where we're targeting those users based on information that they've put into the system. And the fact that they've given us the consensual right to target them is the most important thing. That's the most important piece. So active users inside the platform is not a metric that is very important to us. What is important to us is the number of segments that users fall into. So we track them very closely, but we're not reporting on that. But we do track the number of segments that consumers are falling into. And the second question, again?
James McIlree: It was users by geography.
Christopher Miglino: So we're not breaking down the users by geography publicly yet either, but we have growth throughout the entire world. Obviously, the United States, Southeast Asia is big. We're starting to see a lot of adoption down in Brazil. So all over the world, we don't have a lot of presence in Europe because we're still spinning up the service there. Today, we do have U.K. presence because it doesn't have the same laws. So we have a lot of people in the U.K., but the rest of Europe is being spun-up right now.
James McIlree: Got it. Let me try another way on the active users, which I know you object to that term, but if you don't mind indulging me for a second.
Christopher Miglino: Of course.
James McIlree: On the platform, you can provide either a little bit of information or a lot of information. You can upload pictures, you can link it to your credit cards and your banks and loyalty programs. You can - and you measure this by counting - by getting a point. And so can you maybe talk about, if we use that point as a substitute for activity. I'm just trying to get a sense of somebody who downloads the app and just sits there versus somebody who downloads the app and is really engaged and is providing a lot of information that, in theory, would be much more valuable to the advertisers.
Christopher Miglino: So information that's interesting to an advertiser would be the location that you go to every day, which doesn't require you to be logged into the application. But some of these other things you mentioned are very valuable. So what we've created is a quality score against different individuals. So certain people have entered more information and others have entered less information, and so they're not as valuable as those people that have answered more questions and participated in more surveys and things of the sort. So our quality score against the different individuals, and that determines the price by which your data would be sold out in the marketplace. And now you, as a consumer, when your segments are targeted, you're earning more points. So the more segments that you're in, the more points you're earning as the segments are targeted with advertising. So it builds upon itself. So the consumers that are answering more questions are more frequently targeted and are earning more points over time.
James McIlree: And can you just give us an indication about the quality scores, maybe a distribution of high - let's call it, high, low and medium quality scores across the 15 million registered users?
Christopher Miglino: Yes, we're not in a place to talk about that today, but we'll - we should be by next quarter, or - I don't know that, that's data that we're going to want to share publicly for competitive reasons, but we certainly have a good sense of it on our side. It's a very competitive environment, right now in this space, so we're just trying to keep it as closer to this as possible. That's one reason we're not talking about geography and giving a lot of data about the individual things that each user is doing. I think that the results will be in the advertising deals that we're putting in place.
Operator: Our next question comes from Mike Crawford, B.Riley FBR.
Michael Crawford: Chris, is it true that vast majority of these over 15.6 million BIGtoken users signed up during what appears to be about a two week period?
Christopher Miglino: No, it's more of a 1.5 months. So it's around 1.5 months period where it just completely went viral similar to song going viral on YouTube. There's just literally millions of posts that were happening on social media and millions of invites that were being sent on a daily basis, and that continues today, you can still see that. It happened over a short, condensed period of time was - when it really, really want viral in different countries. You could see it, we have a map in the office and you could see the number of sign-ups happening in each individual country. And once a country kicked in, then you could start to see it distribute throughout the entire country. And it was very interesting. It continues on today.
Michael Crawford: All right. I think you've also talk about a potential browser extension or tool that can potentially increase the amount of ads you could serve to BIGtoken users, is that something still developed - slated to be released in the markets?
Christopher Miglino: Yes. So one of the things that people ask a lot of is, look, I already got my data out there with Facebook, with Experian, with Acxiom. All these people are selling my data today. So what can I do that's going to keep those people from being able to target to me? And one of the things we're building is a tool that will block ads that are not coming through a data set that's being purchased from you. So if you don't have the appropriate code inside that purchase, it's not going to show that ad.
Michael Crawford: Okay. And so, maybe...
Christopher Miglino: Mike?
Michael Crawford: Can you hear me?
Christopher Miglino: Now we can. Now we can't. Sorry, Mike. Unless it's me, I don't think we can hear you now. These guys have are telling me they can't hear you either.
Michael Crawford: Okay, we can - unless you can hear me, we can talk later. But I was wondering if that's still the slated for second quarter release?
Christopher Miglino: We'll see. We have couple of other things that have come to us that are going to be built - that are being built in front of that, that our revenue generating immediately. So we're kind of prioritizing those. But it is definitely in the slate to be built. But there's few things that are coming down the pipe that will bring immediate revenue in.
Michael Crawford: Okay. And then last question is, the revenue guidance. I think before, that was excluding BIG, but now that's - is that harder to break out since it's kind of leaking into the other verticals?
Christopher Miglino: Exactly. So the other verticals - like the biggest success that we're having right now is from all of our consumer packaged goods clients, and that's all being sold from our Shopper team. So the Shopper team is having a lot of success with the BIG data. So where do you define that as a Shopper deal, or a BIG deal, so we're starting to see a lot of across over there. So we're a little early to tell quite yet. But as the year goes on here, we'll definitely have some more insight into that. We'll let you know how much of the revenue is being attributed to BIGtoken deals, and we'll be announcing those transactions as we cut those deals.
Operator: [Operator Instructions]. Our next question comes from Reed Madison, Aspenwood Capital.
Reed Madison: Is there are some concern out there about what percentage of users might be fake accounts on the platform. I have three questions kind of rolled into one along that theme, which, the first is, after an advertiser buys the data and you're ready to share part of those revenues with the users, you don't just pay 15 million users, whatever that split 15 million ways, right? So I'm curious, who gets paid and how do you prevent a fake account from getting paid? And I might as well just ask my third question, which is, if an advertiser is going to pay you x amount of dollars per thousand users that fit into a segment that they want to advertise to, are there are processes or tools in place to assure an advertiser that all of the thousand people that they're buying are actually real people?
Christopher Miglino: So that's a great question. So first off, there's a bunch of tools in our industry that all of that BIG advertisers employ that determines if a user is real or not. So outside of our data, Nielsen and different companies like that are selling tools that are identifying bots and fake traffic. So when we sell a campaign to a marketer, to an advertiser, they will not pay for advertising that is served to fake traffic. Now what happens is they provide us tools that keep us away from fake traffic. So we don't even typically see that fake traffic in the process. So now we have around 99% of our traffic that comes in for campaigns is real traffic. And the company that provided those solutions got sold to Oracle and Microsoft and to Google, so this has been a big initiative in the digital advertising arena. That's been very important for our ecosystem, and went solved actually drove a lot more money coming into the digital ecosystem. So 4, 5 years ago, there was a lot of fake traffic that happened on the internet, but the advertisers put a kibosh on that and said, look, we're not paying for fake people anymore. So in our scenario, fake consumers would never be hit. They would never - an ad would never be served to that fake consumer. Thus, that consumer would never earn any money through the platform. So the first thing that a fake thing would we need to do is create an account inside our platform, then they would have to create fake web traffic that is getting past all of the fraud, bot detection systems that are out there, that are integrated into all of the buying platforms, and then they would need to, in order to get compensated, they would then need to create - be able to create a fraud account with PayPal so they'd have to be able to fraudulently create an account on the PayPal platform to get compensated. And then they'd fraudulently be able to have to prove their in United States and prove that they have a U.S. phone number. So these are - it's not easy for somebody to accomplish. And the way that somebody gets paid in our platform is you get points for answering questions and engaging. But you get paid as we go on by people hitting segments that you fall into. So if you fall into a segment of moms, then - and we have a campaign that's targeting moms and you're in that segment, then you're going to get paid every time that segment is hit. So that is - meaning that we actually see you as non-fake traffic that through these industry tools that we've actually hit that segment and you're getting serve in that. And then through that, you can start to earn points and get compensated for the activity that you're having on the platform. So it's not easy for somebody to do. They had to defraud not just us, but many other people.
Reed Madison: Okay, got it. So you not split, whatever, 200,000 that comes in from an advertiser that doesn't get split 15 million ways, it's just split among the people that hit the segment.
Christopher Miglino: Exactly. And to that point, and this is important for people to understand as well is that our liability as it relates to what we pay out will be ultimately limited to what we take in. So if anybody's read the S1 that we filed, when that gets effective, the mechanism by which we're paying people is driven by the revenue that's coming in. So if a $1 million comes in, we have the ability to allocate up to 50% of that revenue to the consumers in the platform. So it has a cap on what we'd be paying on based on the amount of money that is coming into the platform. So if there's no money coming into the platform, the amount of out-paid or money that's being paid out would be $0 to the consumers. But if there's a significant amount of money coming into the platform, then there's a significant amount that's going out to the consumers. So in that sense, they become our partner in the process.
Operator: Our next question comes from David Lavigne, Trickle Research.
David Lavigne: So I'm sort of thinking of the - you kind of said something a while back that maybe - kind wondered about this again. So I sort of assume that kind of monetization of BIGtoken was something that you kind of had thought about you're going to push to the end of the year as you sort of digested all these registered users and whatnot? And I realize that probably some of that has been - that's probably a moving target just based on the number of registered users and just based on kind of what you're doing out there in terms of kind of seeding, I guess, the advertisers along the way. But are we still looking at probably the monetization or the initial monetization of BIGtoken as being sort of a more year-end, early next year event, or has that been accelerated a little bit by some of these other things?
Christopher Miglino: That's been accelerated a lot. So we're seeing those deals now. And - so we're entering into those transactions at this point, while I thought that they'd be pushed off towards the end of the year, our sales guys had another plan on that. And the second they started bringing the platform out to their customers, we've had some really big internationally well-known brands that want to not only reach U.S. consumers, but want to reach consumers all over the world. And so that piece is - has been moved out. Now the recognition of that revenue may not happen in the second quarter, but certainly into the second half of the year as these deals get closed up.
David Lavigne: So I know you don't - maybe I'm sort of just thinking in terms of, generally, has that interest from the advertiser side then driven by sort of the organic growth in their user base? Or has it been something that has been a more generated from your sales force actually talking about it and putting it in front advertiser? I mean you know what I mean? Has it been sort of advertisers calling you? Are you reaching out? I'm just curious what that sort of looks like.
Christopher Miglino: They don't really call us. But it's been a combination of our sales guys bringing it to their existing customers. Now remember, we have seasoned sales people in the organization that have been in this business for a really long time. So when we started to see the viral expansion of BIGtoken, they just started preemptively going to their customers and saying check this out. Look what we got before we even gave them the approval to start selling it. And so they were coming to us and saying, hey, I got XYZ that wants buy this, and here's what they want to do, and here's how they want to do it. So they've been coming to us with the best ideas, like I said earlier, that we haven't even thought of before, stuff that is beyond just the targeting of specific segments. I mean, we're seeing use cases with the platform that - or could be industry changing. So we haven't thought of that. So it's a combination of both of the sales guys, getting out of - taking the user base, going to their customers and saying, "We got this, here's what we're thinking," and then those customers coming back and going, "Could you do this?" And then us saying, yes or no, we could or couldn't do that.
Operator: Our next question comes from Jim McIlree, Chardan Capital.
James McIlree: Can you just give us an update on the number of sales people you had at the end of the quarter? And maybe help us understand, I'm going to use maturity level, but I'm really trying to understand how long they've been there. Any indication about turnover?
Christopher Miglino: So we've lost one salesperson. So we got around 29 salespeople. The maturity of them, as far as how long they've been here, if you looked on the average, bulk of them have been here in the fourth quarter, they started in the fourth quarter. We really started to hire up after we closed the MD transaction in August of last year. So we took September, October and November, looking for some really, really solid good salespeople. And we accomplished that. We found some great people. But in our business, just like a lot of other businesses, it's not the kind of thing that happens overnight. And you have to go in and talk about what you're doing and what's different about you, and it takes a little bit to get a sale. It's not like selling a gym membership. It's a longer sales cycle. But the benefit of that is, when you are in, you can get a lot of business from these marketers. And we saw that in our CPG business previously, and we saw that certainly in our MD business. When the business starts to flow, it flows in a big way. So we're starting to see the contribution of those salespeople now and into the second quarter and into the rest of this year. I think that's really when their contribution is going to be recognized.
James McIlree: That's helpful. And do you have a target number of sales people that you can share with us that you would expect to have by year-end?
Christopher Miglino: I think we're good at where we are today. I don't think we need to add anything else. Unless things get completely crazy, I think we're in a good spot. We have good distribution throughout the United States, we have good sales infrastructure, so we're just focused on the team that we have today.
James McIlree: Okay. And then my last one. I think in times past, you've talked about how much you've thought a typical BIG user could generate in revenue. And I'm wondering if anything that you're seeing would make you think that those estimates are high, low or spot-on?
Christopher Miglino: No, I think we're right on target with those numbers from what we're seeing. And I think that - those are advertising-based modeling numbers that we came up with. But as I mentioned, we're seeing some business opportunities that are well beyond the advertising, just the pure advertising play, even with the same marketers that we would think would be the pure advertising play people. We'll see, it's a little early to tell what those economics will look like. But certainly, at a base level, those numbers are definitely intact.
Operator: Our next question comes from Robert Ainbinder Jr., WestPark Capital.
Robert Ainbinder Jr.: Chris, I apologize, I jumped on the call a little bit late. Forgive me if this has been addressed already. But I got a glimpse of the numbers, it looks like revenues are of a decent amount. And I understand, some of that is probably from MD. Can you just give me a little more color as to what's going on there with where the revenues came in?
Christopher Miglino: Yes. So MD contributed around $1.8 million in the first quarter of last year. And so if you back that out, we're actually up around 132% year-over-year on the other verticals. So that's - the name of the game now is just growing those individual verticals up, so that they're contributing the same way that MD was contributing last year and continue to grow the BIGtoken revenue and start to monetize the user base.
Robert Ainbinder Jr.: Okay. So are you still comfortable with the $20 million to $25 million revenue guidance that you had previously put out?
Christopher Miglino: Yes. And the second quarter pipeline is, just to close in the second quarter, still up at around $10 million. That - not to be run in the second quarter, but to close and ran throughout the rest of the year. So the pipeline has actually grown significantly since our last call. And the rest of the year, pipelines are growing as well.
Robert Ainbinder Jr.: Great. That's sound really, really good, okay. I just have one other question that, again, I apologize if this was addressed at all. But can you give us any color as to where you stand with the S1 for the actual BIGtoken and how things are looking on that front?
Christopher Miglino: So we got a response letter from the SEC on the BIGtoken filing. And we're responding to that response letter now and should have it back in a few weeks to them. And it's impossible for me to gauge how long that might take after that, but it's definitely something that is on the front burner for us and getting that taken care of.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call back over to Chris Miglino for closing remarks.
Christopher Miglino: Well, we appreciate everybody's time and appreciate the questions. You can reach out to us. And you can reach me at chris@srax.com. And if you have any questions at all, I'm happy to answer any of them. And again, if you're going to be at any of the investor conferences, would love to sit down with you and walk you through what we're doing. If you haven't joined BIGtoken yet, you should all join BIGtoken and get all your friends to join BIGtoken. It's definitely an opportunity to make a lot of money in the platform. So get on board and sign up today. And so we'd love to have you in there. We appreciate the support. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.